Unknown Executive: [Interpreted] It's now time to begin the Sony Group Corporation Earnings Announcement. I am [ Ishii ] from the Corporate Communications Department, and I will be your moderator today. Today, Lin Tao, Corporate Executive Officer and CFO, will present the FY 2025 third quarter results and full year forecast, followed by a Q&A session. The entire session is expected to last 65 minutes. To ensure our international audience can hear the presentation in Ms. Tao's own words, the English language earnings presentation will be delivered via a prerecorded video.
Lin Tao: Today, I will explain the content shown here. Sales of continuing operations in FY '25 Q3 increased 1% compared to the same quarter of the previous fiscal year to JPY 3,713.7 billion, and operating income increased 22% to JPY 515 billion. Both were record highs for the third quarter. Net income increased 11% to JPY 377.3 billion. The financial results by segment are shown here. We upwardly revised our full year sales forecast from the previous forecast 3% to JPY 12,300 billion, operating income 8% to JPY 1,540 billion and net income 8% to JPY 1,130 billion. We increased our forecast for operating cash flow 9% to JPY 1,630 billion. The forecast for each segment is shown here. Now I will turn to an overview of each business. First is the G&NS segment. FY '25 Q3 sales decreased 4% year-on-year, primarily due to lower hardware unit sales. Operating income increased 19% year-on-year, primarily due to the positive impact of foreign exchange rates and the impact of increased sales and network services and first-party software, setting a record for the third quarter in this segment. We upwardly revised our FY '25 sales forecast 4% from the previous forecast to JPY 4,630 billion and our operating income forecast 2% to JPY 510 billion. User engagement trended well during the quarter with the number of monthly active users across all of the PlayStation in December increasing 2% compared to the last December to a record high of 132 million accounts, and total play time for the quarter increased 0.4% year-on-year. Although conditions in the console hardware market during year-end selling season were more challenging than expected, we were able to steadily expand our PS5 installed base in line with our original plan and exceeded 92 million units on a cumulative selling basis. While PS5 hardware unit sales have decreased moderately in latter half of the console cycle, software revenue from the PlayStation Store reached a record high during the quarter, primarily driven by the contribution of major third-party franchise titles and new hit releases. PlayStation Plus significantly contributed to the results of the quarter as the shift to higher tiers of the service continued. As for securing a supply of memory, we are already in a position to secure the minimum quantity necessary to manage the year-end selling season of next fiscal year. Going forward, we intend to further negotiate with various suppliers to secure enough supply to meet the demand of our customers. Given the stage of our console cycle, our hardware sales strategy can be adjusted flexibly, and we intend to minimize the impact of the increased memory cost on this segment going forward by prioritizing monetization of the installed base to date and striving to further expand our software and network service revenue. In the Studio business, Ghost of Yotei, a tentpole title we released in October, exceeded the sales of the previous title in the same period of time and significantly contributed to the financial results of the quarter. Our established live service titles like Helldivers 2 and MLB The Show also contributed stable recurring revenue. We expect that Marathon, which is scheduled to be released on March 5, will be enjoyed by many users, thanks to Bungie having strengthened the gaming experience. Next fiscal year, we plan to release new titles such as Saros and Marvel's Wolverine, and we intend to enhance our effort to increase the revenue of our Studio business. Next is Music segment, primarily due to an increase in live events, sales and streaming revenue in Recorded Music, FY '25 Q3 sales increased 13% year-on-year. Operating income increased 9%, reaching a record high for the third quarter, excluding onetime items. On a U.S. dollar basis, streaming revenues for the quarter increased 5% year-on-year in Recorded Music and 13% in Music Publishing. We upwardly revised our sales forecast 4% from the previous forecast to JPY 2,050 billion and our operating income forecast 16% to JPY 445 billion. We incorporated a remeasurement gain of approximately JPY 45 billion from the acquisition of an additional equity interest in Peanuts Holdings and the forecast for operating income. SMG artists delivered hits during the quarter and the sales of SMG continued to increase by double digits year-on-year, like in the previous quarter. Rosalia new album Lux reached #1 globally in its first week on Spotify and Peso Pluma's collaborative album Dinastia as one of the most streamed on Spotify. These global successes and global hit artists are the result of SMG's strategic focus on discovering local artists and supporting their musical endeavors. Many SMG artists and songwriters received accolades and nominations at the 68th Annual Grammy Awards held in the U.S. earlier this month, with Bad Bunny winning Album of the Year for Debi Tirar Mas Fotos as Beyonce did last year. In Visual Media and Platform, the theatrical release of Demon Slayer: Kimetsu No Yaiba The Movie: Infinity Castle, which has exceeded JPY 100 billion in global box office revenue, continued to contribute and the mobile game Fate/Grand Order, which celebrated its 10th anniversary in July 2025, contributed more to our results than expected. Next is the Picture segment. FY '25 Q3 sales decreased 11% year-on-year and operating income decreased 9%, primarily because the same quarter of the previous fiscal year benefited from the contribution of the blockbuster film, Venom: The Last Dance and licensing revenue from other theatrical released films. Our forecast is unchanged from the previous forecast. In January, SPE signed a new Pay-1 licensing agreement with Netflix. Through this agreement, Netflix will stream on a global basis SPE's future theatrical films and the Pay-1 window, the initial window within long TV licensing period that follows the theatrical and home entertainment periods. This agreement is an industry-first global licensing deal that will enable SPE to secure an even more stable revenue base during the period of the deal. Furthermore, the signing of this agreement is proof of SPE's excellent production capabilities and the power of its appealing IP. As an independent production company, we will continue to pursue other licensing opportunities with a wide range of distribution partners beyond the Pay-1 window. Now I will explain our additional investment in Peanuts IP, which we announced in December as an initiative that spans our music and picture segments. Through this transaction, Sony will gain ownership of 80% of Peanuts worldwide, which owns the rights and manages the business of Peanuts IP, one of the world's leading evergreen IPs. While closely collaborating with the family of Mr. Schulz, the creator of Peanuts, which owns the remaining 20%, we aim to further grow the scale of the business and further increase the value of the brand over the long term by leveraging the strength of the Sony Group. Specifically, we aim to enhance SMEJ's music, video and event business by leveraging Peanuts IP and collaborating with SMEJ's artists and content. Furthermore, by utilizing SPE's production capabilities and distribution network, we aim to make Peanuts IP more accessible to a wider audience and share its charm with people all over the world. The transaction is expected to close during the current fiscal year, subject to certain closing conditions, including regulatory approvals by the relevant authorities. Next is the ET&S segment. FY '25 Q3 sales decreased 7% year-on-year and operating income decreased 23% year-on-year, primarily due to the impact of lower sales, partially offset by an improvement in operating expenses. Our full year forecast remains unchanged from the previous forecast. Despite a continued decline in sales in China due to reduced government subsidies and weakness in the overall market during the shopping season for Singles Day, demand in the global interchangeable lens camera market during the quarter remained strong year-on-year, mainly in Asia. The Alpha 7 Mark 5 released in December has been selling well as a new product for the volume zone of the full-frame mirrorless single-lens reflex camera market, and we expect it will continue to contribute to sales in the fourth quarter ending March 31, 2026. Regarding the impact of the situation in the market for memory, we are almost in a position to secure the quantity we need through the year-end selling season for next fiscal year. We will continue to monitor the situation while working to minimize the impact on profitability. On January 20, Sony signed an MOU with TCL aimed at forming a strategic partnership in the home entertainment field. In the MOU, both companies agreed that a joint venture between the 2 companies would operate Sony's home entertainment business, and we are negotiating the details with the intention of executing a definitive agreement by the end of March. By leveraging Sony's high definition and high fidelity technology, brand strength and operational management capability while utilizing TCL's advanced display technology, cost competitiveness and vertical supply chain strength, the joint venture aims to further strengthen the competitiveness of this business and realize sustainable growth. Last is the I&SS segment. FY '25 Q3 sales increased 21% year-on-year and operating income increased 35%, both of which were record highs for the third quarter for the segment. These are primarily due to an increase in sales volume and unit prices of mobile image sensors. We upwardly revised our sales forecast 5% to JPY 2,080 billion and operating income forecast 13% to JPY 350 billion, primarily driven by the increase in sales volume and sensors for mobile devices and the impact of foreign exchange rates. Mobile image sensor sales during the quarter increased significantly year-on-year due to a gradual recovery in the smartphone market, strong shipments for new products from our major customer and higher die-sized sensor. Because recent orders are stable, we believe that the supply chain concerns we mentioned at the previous earnings announcement have receded, and we have upwardly revised our annual shipment forecast for mobile image sensors. Going forward, we think that the impact of the situation in the memory market will become more apparent, mainly in the form of fewer smartphone made primarily for the low-end market. Since Sony's image sensors are primarily for the high-end market, at this time, we think the impact will be relatively small. We will continue to monitor the situation while keeping in close contact with our customers. In addition, we are continuing to take action to address low-margin business, as we mentioned at the previous earnings announcement. As a part of that, we have incorporated additional expenses for resource and asset optimization of the relevant business in our forecast for FY '25 Q4. We will continue to focus on improving our business portfolio and raise our profitability. To summarize, the G&NS, Music and I&SS segment achieved record high operating income and are driving the profit growth of the Sony Group overall this quarter. We believe that the structural profitability of the group is further improving. Given the continued uncertain business environment, we plan to carefully manage our business and consistently produce results as we approach the fiscal year-end. We intend to take actions this fiscal year to get off to a good start next fiscal year. As for shareholders' returns, today, we increased the maximum of our share repurchase facility established in November 2025 from JPY 100 billion to JPY 150 billion. This concludes my remarks.
Unknown Executive: [Interpreted] That was Ms. Tao. Following the presentation, we will have a Q&A session for the media at 4:20 p.m. and for investors and analysts at 4:45 p.m. Each Q&A session is scheduled to last approximately 20 minutes. [Operator Instructions] Please wait. The session will resume shortly. Thank you for waiting. We'll start the Q&A session. First, we will introduce you today's speakers. Chief Financial Officer, CFO, Corporate Executive Officer, Lin Tao; Senior Vice President in charge of Accounting, Hirotoshi Korenaga; Senior Vice President in charge of Corporate Planning and Control, Naoya Horii. We'll take questions from the media. [Operator Instructions] The first question is from Toyo Keizai, Umegaki.
Hayato Umegaki: [Interpreted] Yes. I'm Umegaki from Toyo Keizai. Can you hear me?
Unknown Executive: [Interpreted] Yes.
Hayato Umegaki: [Interpreted] All right. So I'd like to ask 2 questions. The first question is about Marathon, and it's going to be released on March 5, I understand. And it has been delayed. And what kind of considerations did you have until you decided to have this? And well, in the past, there were cases that has been stop short, but what kind of a learning do you have? And for the live service game and what is the strategic significance of having that? And this kind of a platform, I think, but to have quite a number of platforms, what is the significance for the group to have such platforms?
Unknown Executive: [Interpreted] Yes. Thank you for your question. And as for the Marathon, well, it has the user tests and then from the users has feedback for Marathon, and in the game, so what was a good point and not good point and such kind of a feedback we had taken into consideration and we had modified. And this time around, so after the modification, we are very confident to release it on March 5. And live service, the games significance you asked, but here, what is most important for us is that the live service is a recurring revenue. And recurring revenue means that the hit driven. And if it comes a hit, then for a year, it can bring revenue. If not become a hit, then no revenue. So it's such not the volatility high studio, but it's going to give us a constant amount of revenue every year. So that's the merit of having a hit live service. But -- well, it's not that we want to have -- so to many of them, it's not what we want to have. So the idea is that so-called AAA and live service game would become integrated into a portfolio management style. That's it for me.
Unknown Attendee: [Interpreted] And the second question is about your stock price. And you had announced your earnings results, and it was a JPY 3 plus, but it's almost flat. So that the market valuation is quite severe, I think. And the stock performance is not good because the memory had risen. But it's rather Sony Group, it seems that there has been a harsher view on the Sony Group. So what do you see as a CEO? And you have announced the share buyback, but the market capitalization, in order to raise the market capitalization, if you have any continuous way to keep that going up?
Unknown Executive: [Interpreted] All right. Thank you for your question. And about the stock price, so we had several information revisions, but it's not performing well. So I think you have various thoughts about that. But one thing is that memory, there are concerns for the memory supply. And as an industry, yes, that is one concern. And the other is the entertainment stock, generally speaking, is because the capital AI-related would go to the AI related. So I think that's why. And then for us, what we can do is that as a business, we will look at the fundamentals to make it even stronger. And the profitability, we would improve so that the portfolio can be optimized. And for us, Sony, long-term strategy, we believe in that so that we would implement that, so that the business performance can be improved and such measures would be communicated, messaged to the stock market so that the stock market would value our approach, and we are going to put our efforts into it. That's all for me.
Unknown Attendee: [Interpreted] The AI...
Unknown Executive: [Interpreted] Excuse me, but that's the end of your 2 questions. Next question [indiscernible] from Nikkei, please.
Unknown Attendee: [Interpreted] I also have 2 questions. First, about ET&S structural reform. Today, you have mentioned that the TV business, you're going to move to a joint venture with TCL. And you talked about synergies. So separating the TV business, what's the intent of that? And Home Entertainment, what's the scope? I'm sure that the details are being still discussed. So to the extent possible, can you describe the range that this covers? And also, smartphone also positioned as a structural reform business. And you have hit to explain that they will be continued. Has there not been any change to that status? Is an option to collaborate with external source?
Unknown Executive: [Interpreted] Thank you. For the smartphone, we don't have such plans. So with TCL, we have a strategic partnership for Home Entertainment. So this is about the review of portfolio, and we are constantly doing that to deal with the changing business environment. So optimizing that is the management mission. So Sony has assets that we have accumulated over many years, and we're combining that with the strength of TCL. And so Home Entertainment business, including TV, can grow more through this partnership. That is the background to this partnership. And what the scope of what business to be covered, Horii will explain.
Naoya Horii: [Interpreted] Thank you for the question. So this strategic partnership, the scope of that, as you point out, it's TV. and home audio, those are the areas that we assume will be included. As you point out, the details are still being discussed. So at the appropriate timing, we would like to communicate to you. At this point of time, TV and home audio will be included in the scope.
Unknown Attendee: [Interpreted] Thank you. Second question about the game business. So this was mentioned in the previous question. So with the surging memory price, so you have secured the supply until the next year-end campaign. So you maybe have secured supply, but will there be impact of the rising prices? For example, PS5, any price increases or the successor, the timing that it will be introduced? And what will be the impact to the next fiscal year? Can you give us your assumptions, please?
Unknown Executive: [Interpreted] So PS5 next fiscal year and onwards, what would be the impact there. So for the business results for next fiscal year, we would like to inform you at the appropriate time. But our thinking is what we'd like to share with you. That is PS5 since launch, it's in the sixth year. So 92 million unit installed base on a sell-in basis, we already have established. So we have been able to develop a very robust ecosystem. And this fiscal year as well, the majority of the sales is software content and network service. And these areas, next fiscal year onwards, are going to continue to make significant contributions, and that will be the part that will not be impacted by the memory price. Now as for the new PlayStation hardware sales due to cost increases, there will be some impact. However, it's in the latter part of the life cycle. So that means that in terms of hardware sales, it's been expected all along that it will gradually decline or slow down. So there are several or a wide range of choices or options that we can take. So that's our basic thinking there.
Unknown Executive: [Interpreted] Moving on to the next question. So I'm very sorry. Please ask both of your questions at the beginning. [ Yomiuri Newspaper, Nakayama-san ], please.
Unknown Attendee: [Interpreted] So this is Nakayama from Yomiuri. Do you hear me? So I have two questions. Number one, about music. The streaming revenue growth rate, this -- so do you think the music streaming service will continue to do well? We would like to hear your prospects. And about I&SS, the image sensor for mobile, do you have any background on the increase in the unit price of image sensors for mobile?
Unknown Executive: [Interpreted] About -- I will answer the question on the music business first. The music market, we see will continue to grow in the mid- to long term. Of course, the extent of growth will differ due to the timing, but we believe there will be a constant growth of -- to about 5 to middle to latter single digit. And there are 2 drivers to this. First is DSP that is a platform that we offer service on. The ARPU or ARPU is going up, and also the number of users going up. So the average revenue per user and the number of users going up is driving the growth. The second point about I&SS semiconductor, Horii will answer.
Naoya Horii: [Interpreted] The sensor -- so this is the background of increase in the selling price of mobile sensors. As you know, in smartphone products, there is -- the camera feature is a main reason for increase in price. So the smartphone manufacturers are working to increase the camera resolutions as well as the camera features. The image sensors that we provide to the manufacturers, we want to increase the size as well as increase the resolution and add new features. So large-scale image sensors as well as increased performance is leading to higher price, and that is really contributing to our results this year. That's all. Thank you.
Unknown Executive: [Interpreted] All right. So we take another question. [indiscernible] [ Yamamoto-san ], please.
Unknown Attendee: [Interpreted] Yes. My name is Yamamoto. So let me ask questions. So about the structural reform and TCL, so we have the strategic alliance, but the display to have the higher resolution. And Home Entertainment, I think though you have the high resolution, I think it is contributing to the technology and also the common kind of R&D. Do you separate the 2, the technology and the common R&D base in order to have the next phase of development? So about the strategic alliance, would you tell us your direction or your strategy?
Unknown Executive: [Interpreted] Yes. Thank you for the question. So first, so we have the basic agreement. And for the technology and for what kind of assets can we have through the joint venture to have the definitive contract, so we are in discussion in order to aim for the final agreement. So if it is confirmed, then we would tell you when it is confirmed.
Unknown Executive: [Interpreted] Running short on time. So the next one will be the last question. Shino-san of Asahi Shimbun, please. Shino-san, do you hear? Well, then, we'll move on to the next person from [ Mainichi Shimbun, Shino-san ], please.
Unknown Attendee: [Interpreted] This is Shino from Mainichi Shimbun. Earlier, you talked about the PlayStation 5 life cycle that you're entering the latter half of the life cycle. But last November, you talked about the Japanese dedicated model for PlayStation, a relatively cheap, lower price model for the Japanese market. So what's the reason for introducing this kind of model in the latter part of the life cycle? And what will be the impact to the financial results? Has there been impact from introducing this new model?
Unknown Executive: [Interpreted] So the Japan model introduction, well, that was to enhance the presence of PlayStation in the Japanese market. It's one part of that effort. Compared with the global model, it was more reasonably priced. And so publishers and users appreciated that more affordable price. And after launch, in terms of sell-through, it has created an uplift. Now this was not a special model just for that seasonal effort. But for the mid- to long term for the Japanese market, we think that this had a strategic significance. So we want many users to buy this so that publishers will make great games. So we think in that regard, this will have a mid- to long-term impact.
Unknown Executive: [Interpreted] Now it's time to conclude the Q&A session for the media. So the Q&A session for investors and analysts will start from 4:45. Thank you for waiting. We will now begin the Q&A session for investors and analysts. I am [ Kondo ] from the IR Department, and I will be your moderator. The speakers will be the same 3 individuals as in the media session. We will now start the Q&A session. [Operator Instructions] JPMorgan, Ayada-san, please.
Junya Ayada: [Interpreted] I'm Ayada from JPMorgan. I have 2 questions. The first question is about gaming. The play time and so what do you think about the status of play time and spending in the holiday season? Active users have gone up 2%, but play time is flat and software network revenue is going up. But thinking about the price up, I think in terms of value or volume, it's more or less flat. So it seems like it's dwindling a little bit. Is it because of the economic cycle, business cycle or console cycle? Or is this impact from the title lineup? Or are people using time for things other than game. So we would like your take on that. Your second question, so this might be an abstract question. The impact of AI to the entertainment industry, how should we see that? For music production and game development, already 90% of creators use AI, so -- based on the data. So by the creators using AI, if there's more content, that would be a very positive effect on platforms such as PlayStation and Crunchyroll or if users use more of their casual -- more time in casual content using AI, would that be negative? So I think the repercussions will be different, whether it's music, anime games or video production. So please share your view.
Unknown Executive: [Interpreted] Thank you for the question. About the engagement of games in the holiday season, I think this is transitioning quite well. Of course, the play time, I think there are many factors influencing the play time. But I think the biggest factor, I think, is whether there are hit games. Up until now, the games, maybe the large-scale games, which everyone has been playing up until now, the engagement has gone down. And instead, the players are playing new games. As a platform, we see a momentum. But depending on the game title, how that is played and the play time will be different. Towards the next fiscal year, the large-scale titles will be launched. So I'm very optimistic about this. And about how we see AI, as you say, music, game and animation, how AI is used or the positioning of AI is different. There is high affinity between AI and game and animation. In the long term, I think it's a very positive thing that there will be more content. But there would be impact in many areas, especially how you develop and produce. So this process from idea to game, I think, would be changing. But it's still early in the day to say what the impact would be and what would be the impact on the cost. So at this point of time, it's difficult to really say. But what we can say right now is to use a lot of AI. So we promote using AI, especially in game production. And if that disrupts the existing process, we should be the one disrupting rather than the one being disrupted. That's all. Thank you.
Unknown Executive: [Interpreted] Thank you. All right. So next question from BofA Securities, Mr. Hirakawa.
Mikio Hirakawa: [Interpreted] Yes. BofA Securities. My name is Hirakawa. So first question is -- well, it's a rather abstract question, but this is the second year of the midterm business plan, but the operating profit growth is like 10% average as you go. And then this year, it has progressed very smoothly. And the concern from the market is that the next year, the profit level because of the memory or the untransparent price movements, then it might not be so smooth. Then what I want to ask you here is now in the midterm business plan, so what kind of certainty do you have? And what kind of risk factors do you have in achieving or what kind of upside do you have? So if you can allude to that is the first question. And the second question is about what you have said. So image sensor, I&SS, so what I have heard is the high end is so ASP rise and the volume expansion, you can have both. So that, I think, was the main thing that you wanted to message to us.
Unknown Executive: [Interpreted] Okay. Thank you for the question. And about the midterm plan, so the second year and the year are going on quite smoothly. Yes, that is the feeling we have. About the memory price surge, and we can understand the concern from the market about this. And this earnings results for the next year, I think we can go into this more deeper. But basically speaking, we would have the momentum very strong here and the memory cost rise. So we have to manage that, and that's the kind of a direction we have and the profitability, of course, we have in mind. And for the attainment of the midterm plan, how certain we are or how confident we are? So it depends on each business segment, but this is a game and Sony Pictures. So next year's software lineup is quite good. So for those segments, I think we have quite a positive kind of outlook. And for the detail, I don't think I can go into here. So when the earnings results for the 2025 fiscal year, I can maybe tell you more about it. And the ESP and the semiconductor and the volume, okay. For this question, I would like to ask Horii-san to answer.
Naoya Horii: [Interpreted] All right. Thank you for the question. So in the speech, we have said that this year, what we have seen this year, okay, and what we are seeing SP and the volume also, we have momentum. So for next year, it's like a launch pad, let's say, that it's in a good position. So I think we can say that we are in a positive position. And having said that, in the semiconductor business, there's other businesses like game or [indiscernible] and -- so memory market condition effect. And let's say, the selection or the options range is different is what I feel. So the final product manufacturers, well, so what kind of measures would they be taking because of this memory market condition? And we would like to have a close contact communication with the customers so that we can have a good understanding of each of the customers we have, and that's procedure we take. But I think we are rather in a passive mode concerning this because of this kind of a characteristic business. And for next year, I think we have a good launch pad in place. And that's exactly what you have pointed out.
Unknown Executive: [Interpreted] Next, from Mizuho Securities, Nakane-san. please.
Yasuo Nakane: [Interpreted] Two questions. First, so expanding the share buyback. So before you used it up, the facility is being expanded. I think this is the first time you're doing that. You have higher cash flow. Stock price is low. I think those are the backgrounds. So talk about what discussions you had in the Board meeting, and what's the message of expanding this facility in addition to what's in the release? That's the first question. Second, about the Home Entertainment separation. So from development, design, manufacture, that part, I think it's easy to separate cleanly. But for sales, you have the common platform and domestic and overseas, I think it's still quite a huge size. I understand that the details are still to be worked out. But for the next fiscal year in terms of sales, how is it going to be handled? And on the ET&S side, inclusive of structural reform, is there a possibility of some adjustments to be made? Give us some clues, please.
Unknown Executive: [Interpreted] Thank you for the questions. First, about increasing the facility to repurchase shares. So as you say, the business results and the cash flow is better than anticipated. So we want to increase our returns based on that. But in terms of the window, that is up until middle of May. So JPY 50 billion increase is what we've decided on this time. So the company's momentum of earnings and the fundamentals, we are confident about that. That is the message that we would like you to take from this increase in the facility. About the ET&S, for next fiscal year, basically, ET&S will continue to operate. It will have its budget in the same way, and we will communicate in that way. For the joint venture, it's to start from April of fiscal '27. So in terms of the additional structural reform for the portfolio, it's always dynamic. So looking at the business situation, it's our job to optimize that. It's one of our main missions. As of now, nothing has been decided yet. That's all.
Unknown Executive: [Interpreted] SMBC Nikko Securities, Katsura-san, please.
Ryosuke Katsura: [Interpreted] So I'm Katsura from SMBC Nikko Securities. I have 2 questions on game and semiconductor. About the gaming question, this quarter, how we see the profit. The third quarter, so the -- compared to the real profitability of second and third quarter -- first and second quarters, I think the third quarter profit has gone down. This is about the domestic version of hardware and you did also promotion activity. And also the procurement side, there has been -- maybe you purchased memory in order to secure the inventory. So the landing of the third quarter and also the full year, so the postponement of first-party title might be a negative factor. So these numbers seemed a little bit low. So maybe you have included some of the countermeasures towards the next term. And the second point is I&SS. You said you will be taking measures in the fourth quarter. So if you can say, we would like you to share us the scale of this measure. So my question is about your plan towards the next year.
Unknown Executive: [Interpreted] Thank you for the question. About the third quarter profitability for gaming going down compared to the first and second quarter. So there was -- the main reason was the end of the year sale promotion of the hardware. In addition to the Japan domestic model, we did global promotion. and that led to many users purchasing the console. And that -- due to that, the profit went down in the third quarter, but this will contribute to the mid- to long-term lifetime value. And towards the end of the fiscal year, as of now, the inventory, we do not have any plans to do anything extraordinary on the inventory. I&SS, we have factored in a part of that into the fourth quarter. Horii will respond.
Naoya Horii: [Interpreted] So as we have explained, the business balance within I&SS segment and some of the assets depreciation amortization done in acceleration. So this type of treatment is currently being processed. And about the scale, about JPY 20 billion, so this onetime cost of JPY 20 billion will be factored into the fourth quarter.
Unknown Executive: [Interpreted] All right. So we have not much remaining time. So the next question is going to be the last. [Operator Instructions] [ Munakata from Goldman Sachs ].
Unknown Analyst: [Interpreted] Yes. My name is Munakata from Goldman Sachs. I think you have been saying about the generative AI. I'd like to ask a question about that. And so last week, so Project Genie was announced. And basically speaking, so generative AI, I think there's opportunity and also a threat. So in the stock market, so the generative AI, so the creation might be done by that so that a very interesting game can be made in an instance. So that I think a threat is more strong here. But in the game creation, so there has been some comments that to have it in a positive manner. But with the generative AI becoming -- developing, so what is the strength of your game studios and game development? What is your strength in that? So I appreciate you to ask -- to answer this question.
Unknown Executive: [Interpreted] Well, but the generative AI, so in very various ways, there are trials going on and now is in a test stage, I think. And there are very interesting things that's happening. But before -- I think it's before the commercialization. And as for game, it's not just game, but -- so AI, I think it can be in a toolbox that there's a very strong tool in the toolbox. That's kind of a feeling we have against AI. So tool itself, it's not going to be a business. So I think we need the sensitivity of artists and the tool to integrate in order to have another business chance or to have entertainment. So that's the kind of understanding we have. In that sense, AI, I don't think it's a threat. But -- so that the creators can use AI fast way. And then we are going to help them make it the commercial product. So I think that's a Sony's mission. Thank you.
Unknown Executive: [Interpreted] With that, we would like to conclude the earnings announcement of Sony Group. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]